Operator: Good morning. My name is Dede, and I will be your conference operator today. I would like to welcome everyone to the Virtus Investment Partners quarterly conference call. The slide presentation for this call is available in the Investor Relations section of the Virtus website, www.virtus.com. This call is being recorded and will be available for replay on the Virtus website. [Operator Instructions] I will now turn the conference over to your host, Sean Rourke.
Sean Rourke: Thank you, and good morning, everyone. On behalf of Virtus Investment Partners, I’d like to welcome you to the discussion of our operating and financial results for the third quarter of 2023. Our speakers today are George Aylward, President and CEO; and Mike Angerthal, Chief Financial Officer. Following the prepared remarks, we’ll have a Q&A period. Before we begin, please note the disclosures on Page 2 of the slide presentation. Certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and as such are subject to known and unknown risks and uncertainties, including but not limited to those factors set forth in today’s news release and discussed in our SEC filings. These risks and uncertainties may cause actual results to differ materially from those discussed in the statements. In addition to results presented on a GAAP basis, we use certain non-GAAP measures to evaluate our financial results. Our non-GAAP financial measures are not substitutes for GAAP financial results and should be read in conjunction with the GAAP results. Reconciliations of these non-GAAP financial measures to the applicable GAAP measures are included in today’s news release and financial supplement, which are available on our website. Now I’d like to turn the call over to George. George?
George Aylward: Thank you, Sean. Good morning, everyone. I’ll start with an overview of the results we reported earlier today before turning it over to Mike to provide the details. In the third quarter, we continued to operate in a challenging and volatile environment and the key highlights of our results included higher retail sales and positive net flows in retail separate accounts, global funds and ETFs, increased net earnings and operating margin, higher return of capital, including our sixth consecutive annual dividend increase, investments in the growth of the business, including in a CLO and in an affiliate, attractive investment performance across strategies and products, both long term and year-to-date and repayment of debt, ending the quarter with a well-positioned balance sheet and modest net leverage. So turning now to the review of the results, total assets under management decreased 3% to $163 billion, primarily due to market impacts in addition to net outflows in retail funds. Sales were $5.8 billion with a 16% increase in retail sales, more than offset by a decline in institutional, which had a large mandate in the prior quarter. In retail, open-end fund sales increased 5% with sequentially higher alternative fixed income and domestic equity and retail separate account sales were significantly higher, up 37% due to strength in SMID-cap. Net outflows were $1.5 billion, down from breakeven last quarter. By product, institutional had net outflows of $0.4 billion compared with net inflows of $2.2 billion last quarter, which included a large mandate. This business is inherently variable on a quarterly basis but has generated organic growth year-to-date and in each of the last 3 calendar years with contributions across affiliates, strategies and geographies. Retail separate accounts generated positive net flows of $0.3 billion and were positive for the year-to-date period. We continue to build out additional strategies and capabilities in retail separate accounts, where we continue to see meaningful growth opportunities. Open-end fund net outflows of $1.5 billion improved from $2.2 billion in the second quarter with a favorable net flow trend across most strategies and notably in alternatives with AlphaSimplex generating positive net flows since they joined us in April. SMID-cap and global equities again generated positive net flows, and we are seeing particularly strong traction in mid-cap again. Within open-end funds, ETFs again generated positive net flows, and we continue to see opportunities to further broaden the product lineup with additional actively managed fixed income funds as well as other distinctive strategies. We also saw positive net flows in global funds, where we continue to expand that product set. In terms of what we’re seeing in October, the trend for retail open-end funds remain similar to the third quarter. For institutional, the pipeline remains strong with one but not funded mandates exceeding known redemptions. As always though, the timing of institutional fundings and redemptions is very difficult to predict and can be lumpy from quarter-to-quarter, especially in this volatile market in which we are seeing a longer funding cycle. Our third quarter financial results reflected higher average AUM levels and our ongoing management of expenses. The operating margin was 33.9%, up sequentially from 32.3% due to higher investment management fees and relatively unchanged costs. This demonstrates the leverageability of the business as was also illustrated by a 78% incremental margin. Earnings per share as adjusted of $6.21 increased 14% from $5.43 in the second quarter due to higher revenues and the stable expenses as well as higher interest income, largely related to a CLO we issued in 2022. Turning now to capital. During the quarter, we invested in the growth of the business, repaid debt and increased capital return. In August, we announced a 15% increase in our quarterly dividend, which we have raised annually for 6 consecutive years, -- we also repurchased over 74,000 shares for $15 million, up from $10 million in the prior quarter as repurchases were attractive given the valuation. We also continue to invest in the growth of the business, including $26 million to sponsor a new CLO issued by Sykes and $21 million to increase our ownership in SGA, reflecting equity purchases that were part of the original transaction intended to facilitate succession. We ended the quarter in a modest net debt position after repaying $20 million of our credit facility, and we continue to generate significant cash flow, providing ongoing opportunities to invest in the growth of the business, return capital to shareholders. With that, I’ll turn the call over to Mike. Mike?
Mike Angerthal: Thank you, George. Good morning, everyone. Starting with our results on Slide 7, assets under management. At September 30, assets under management were $162.5 billion, down 3% from $168.3 billion at June 30 due to $3.6 billion of unfavorable market impact and net outflows of $1.5 billion. Average assets in the quarter increased 3% to $167.9 billion, with ending assets under management 3% lower than the quarter’s average. Our assets under management represent a broad range of product and asset classes. By product, institutional and retail separate accounts continue to grow as a percentage of our assets with institutional now 37% of AUM, up from 32% a year ago and retail separate accounts at 24% of AUM, up from 23%, while U.S. retail funds represented 29% of AUM, down from 34%. We are also well represented within asset classes. In equities between international and domestic and within domestic nearly evenly split among small, mid- and large cap strategies and fixed income well diversified across duration, credit quality and geography. We also continue to have compelling long-term relative investment performance across products and strategies. As of September 30, approximately 65% of institutional assets and 84% of retail separate account assets were outperforming their benchmarks over 5 years. For our rated mutual funds, 80% outperformed the median of their peer groups over the 5-year period. In addition, approximately 74% of rated fund assets had 4 or 5 stars, up from 62% last quarter and 89% were in 3, 4 or 5-star funds. We had 39 funds that were rated 4 or 5 stars, including 11 with AUM of $1 billion or more. I would also note that our managers performed well year-to-date in challenging markets with 67% and 89% of institutional and retail separate accounts AUM, respectively, meeting benchmarks for the period and 73% of mutual funds AUM outperforming the median performance of the peer group. Turning to Slide 8, asset flows. Total sales of $5.8 billion declined from $7.6 billion due to institutional, which included a large mandate last quarter, while retail sales increased 16%. By product, institutional sales of $1.3 billion included the issuance of a $300 million CLO and were down from $3.7 billion last quarter. Retail separate account sales of $1.8 billion increased 37% from $1.3 billion, largely due to SMID-cap. Fund sales of $2.7 billion increased 5% from $2.6 billion with higher sales in alternatives, fixed income, domestic equity and multi-asset. Total net outflows were $1.5 billion, which compared with breakeven net flows in the prior quarter with net outflows largely driven by U.S. retail funds. Reviewing by product, Institutional net outflows of $0.4 billion compared with positive net flows of $2.2 billion in the prior quarter, as flows will fluctuate depending on the timing of client actions. Over the past 4 quarters, institutional has generated a 5% organic growth rate with flows well diversified across affiliates, strategies and geographies. In retail separate accounts, positive net flows of $0.3 billion improved from modest net outflows in the prior quarter and both the intermediary sold and private client channels generated positive net flows. For open-end funds, net outflows improved to $1.5 billion from $2.1 billion in the second quarter. The net outflows were primarily due to U.S. retail funds as both ETFs and global funds continued to generate positive net flows. Within open-end funds, both SMID-cap and global equity generated positive net flows and net flows improved in alternatives, fixed income and domestic equity strategies. Turning to Slide 9. Investment management fees as adjusted of $177.4 million increased $6.3 million or 4%, reflecting the sequential increase in average assets under management. The average fee rate of 42 basis points was relatively unchanged, declining slightly from 42.2% in the prior quarter. A modest decline reflected the full quarter impact of the large institutional funding in the second quarter, mostly offset by a higher average open-end fund fee rate. Performance fees in the quarter of $0.6 million compared with $0.3 million in the second quarter. And looking ahead, we continue to expect the average fee rate to be in a range of 42 to 44 basis points, though given the current environment, we would expect to be at the low end of the range in the fourth quarter. As always, the fee rate will be impacted by markets and the mix of assets. Slide 10 shows the 5-quarter trend in employment expenses. Total employment expenses as adjusted of $98.8 million increased 3% sequentially. The modest increase reflected higher incentive compensation due to affiliate profitability, stronger retail sales and higher noncash performance-based stock compensation. As a percentage of revenues, employment expenses were 50.1%, down modestly from 50.3% of revenues last quarter. Looking ahead, we continue to expect employment expenses to be in the range of 49% to 51% of revenues, albeit at the high end of the range for the fourth quarter, given current market levels. As always, it will be variable based on market performance, in particular as well as profits and sales. Turning to Slide 11. Other operating expenses, as adjusted, were $30.1 million, down $1.6 million or 5% from the second quarter. Excluding the $0.9 million of annual Board grants in the prior quarter, other operating expenses declined 2% sequentially, reflecting continued management of discretionary expenditures. Looking ahead, we would anticipate that other operating expenses, as adjusted, will be in a quarterly range of $30 million to $32 million, down modestly from the previous range. Slide 12 illustrates the trend in earnings. Operating income as adjusted of $67 million increased by $5.4 million or 9% sequentially due to higher average assets under management and flat operating expenses. The operating margin as adjusted of 33.9% compared with 32.3% in the second quarter. With respect to certain nonoperating items, other expense as adjusted improved by $0.9 million, reflecting lower unrealized losses on investments. Total net interest income increased by $1.5 million, primarily reflecting interest income on the CLO issued late last year. Net income as adjusted of $6.21 per diluted share increased 14% from $5.43 in the second quarter. Regarding GAAP results, net income per share of $4.19 compared with $4.10 per share in the second quarter and included a $0.67 expense for fair value adjustments to affiliate noncontrolling interests, and $0.37 of acquisition, integration and restructuring costs. Slide 13 shows the trend of our capital liquidity and select balance sheet items. We ended the quarter with net debt of $84 million, representing net leverage of 0.3x. Our strong balance sheet supported continued balanced capital management in the quarter, including investments in growth, return of capital and debt repayment. Investments in growth during the quarter included $26 million to sponsor a new CLO as well as a $21 million investment to increase our ownership in SGA to 75%. In August, we announced a 15% increase in our quarterly dividend to $1.90 per share. And over the past 6 years, we have increased the dividend by over 300%. We also repurchased 74,015 shares during the quarter for $15 million, up from $10 million in the prior quarter. We continue to pay down our revolving credit facility repaying $20 million in the quarter. We have adequate levels of working capital and modest leverage, providing meaningful financial flexibility to repay debt, invest in the business and return capital. I would also note, as a reminder, that our intangible assets continue to provide a cash tax benefit, which grew with the acquisition of AlphaSimplex earlier this year and with the increase in our ownership of SGA. At current tax rates, we estimate the tax attributes could provide a cash tax benefit of approximately $19 million per year over the next 10 years. With that, let me turn the call back over to George. George?
George Aylward: Thanks, Mike. So we’ll now take your questions. Dede, would you open up the lines, please?
Operator: [Operator Instructions]and our first question comes from Michael Cyprys of Morgan Stanley.
Michael Cyprys: I was hoping you could talk about the international distribution efforts, how that is progressing. Maybe you can elaborate on how much that’s already contributing just in terms of AUM and flows. So maybe talk about some of the steps you anticipate taking as you look out over the next 12 months or so with respect to international distribution efforts? And then the other question would be just around the pipeline, if you wouldn’t mind just giving a little bit more color on the institutional pipeline. What you’re seeing there? How do you characterize it now versus like last quarter.
George Aylward: Sure, sure. On the first, so we’re very pleased with the traction and the outcomes from our non-U.S. institutional distribution team. And as we’ve said before, they’ve really done a great job in terms of getting familiar with all of the capabilities that we’ve had and very early on from the very beginning, very quickly starting to create some opportunities. As we’ve said before, the reason we think the non-U.S. is a great growth opportunity for us is because until a few years ago, a large number of our management really relatively unknown outside the U.S. So we’ve had traction outside the U.S. for a few years. It’s now grown to about 17% or 18% of our AUM. It continues to be a very active part of our pipeline, and we think we have a lot of opportunities. And generally, what we’ve seen over the last few years is obviously a lot of increased activity. But I think in a few quarters, we’ve commented the amount that is actually coming from the non-U.S. client base as opposed to the U.S. client base and how pleased we’ve been that it has been more broadly split between various affiliates as well as strategies, right? And to dovetail that into the pipeline, then I’ll ask Mike to talk a little bit more about the non-U.S. distribution. In terms of the pipeline, the reason -- what we like about the pipeline is not always necessarily in terms of the sheer dollars but in terms of the diversity of that. So we continue to see a pipeline that has diversity of equity strategies, of non-correlated strategies, of fixed income strategies. So we think that’s great. We did make some comments and institutional is always going to be lumpy in its nature in terms of when money comes in and when money goes out, particularly as clients are looking to either rebalance their portfolios, et cetera. And we are -- we did comment that we are starting to see a little bit more of a longer funding cycle. I don’t think it’s unusual in this type of a market, but it just kind of makes the predictability of that just a little more challenging. Mike, comments on the institutional team?
Mike Angerthal: Yes. I think George laid it out pretty well. When we look at recent fundings and the expansion of the international business, we’re certainly getting strong contributions from the global team, not only the team in Europe, but the team in Singapore and Asia and that the pipeline is comprised of opportunities from each of those areas, and it’s across affiliates and across those geographies. And we do have significant contributions in the pipeline from those teams and gives us confidence over the long term. Any quarter can certainly have different results. But when we look at each of the last 3 years as well as trailing 12 months and year-to-date. We continue to be excited about the pipeline of opportunities and about what that team is contributing and the activities that they have upcoming with many of our affiliates.
Michael Cyprys: Great. And then just a question on your ETF platform. I was hoping you might be able to speak to how you guys are thinking about continuing to build that out? Any thoughts around mutual fund to ETF conversions as well as scope for launching some new active ETFs as we’ve seen others start to have some success with that across the industry.
George Aylward: Yes. And we definitely -- as we sort of look at how our retail investors increasingly want to access capabilities. Obviously, the growth is really going to be in the retail separate accounts in the ETFs. Open-end funds as a product category has various challenges in terms of where it is in terms of its trajectory and is currently apparently the preferred source of funding when you need to move money into cash. So ETFs, again, we had positive flows in ETFs. We’ve been thoughtfully putting out our capabilities on the ETF side. So it’s a small part of our business, but it is definitely growing. And it’s also where we have a lot of our focus for new offerings. And to your specific comment, and I think, we referenced it in our prepared remarks, we’re in the process of expanding our actively managed fixed income strategies in particular. So we’ve had several -- we’ve actually -- expect to expand that and expand those capabilities as well as in some of our other noncorrelated strategies. So as we look at that space for us, it will generally be more of the actively managed, differentiated and those products that are attractive in the ETF wrapper, which is attractive for a lot of reasons. And increasingly, we’re seeing a lot of those reasons really relate to the tax efficiency of that. So I think that’s kind of similar to the retail separate accounts, which again, has been a very strong part of our business, what we continue to see that as an area to sort of expand our area of success, which has been overweight equity types of capabilities, and we continue to develop and launch other types of retail separate accounts because, again, they’re a very attractive access point for a lot of what we’re seeing in the growth of the retail market.
Michael Cyprys: Great. And if I could just squeeze one more question in here, just on the expense side. Just curious what it would take to bring the comp ratio below 49% below that low end of the range. What you would need to see for that to happen as you look out on maybe a multiyear basis? And then just on the G&A side, non-comp, you could just talk about some of the actions that you guys are taking that enabled you to bring down the range and just how you think about that pace of growth going forward.
George Aylward: A couple of comments, and Mike will add to that. So in terms of the expense ratio, generally, the biggest driver is actually the revenue impact as opposed to the employment expense impact. Because most of -- we have a high percentage of variable employment costs, and they’ll vary, as Mike stated, in terms of profitability, in terms of sales, in terms of other kinds of metrics. So a lot of times, the volatility you see in the metric is really going to be driven by -- we had that period where there was just a really strong market trajectory and then that ratio was going down. And it was really not about the expense line. It was actually about the revenue line. So we continue to think that variable expenses are a benefit to have and it will be impacted based upon that. Mike, do you want to comment on the deployment and then...
Mike Angerthal: Yes. I think just generally speaking on the expense side, we were pleased this quarter to have incremental margins above 75%. Really all we said the business is leverageable, and you see that in those incremental margins that emerged this quarter, I think on the employment road, as George said, there’s a significant amount of variability in the compensation structure, which will vary based on profitability and sales. And then certainly, the biggest driver will be market. So that’s something that we’ll continue to provide information on if we get to the lower end or below that range in the market environment. I think on other operating, we’ve been focused on the discretionary expenditures for the last year, 1.5 years, really trying to offset the impacts that we’ve seen from inflationary pressure from our service providers and vendors. We’ve consolidated significant middle office systems and platforms that have enabled us to maintain our other operating in a pretty tight range. I think 2 quarters in a row, we modestly reduced that range. And we’ll continue to focus on ways to drive efficiency in our operating expenses to increase the leverageability and provide a strong platform for growth.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Aylward.
George Aylward: Great. Thank you. And again, as always, I want to thank everyone for joining us today, and I certainly encourage you to give us a call if there are any other further questions. Thank you very much.
Operator: That concludes today’s call. Thank you for participating, and you may now disconnect.